Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2013 SPX Corporation Earnings Conference Call. My name is Erica, and I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Ryan Taylor, Director of Investor Relations. Please proceed.
Ryan Taylor: Thank you, Erica, and good morning, everyone. Thank you for joining us. With me on the call this morning are Chris Kearney, our Chairman, President and CEO of SPX; and Jeremy Smeltser, our Chief Financial Officer. Our earnings press release was issued this morning and can be found on our website at spx.com. This morning's call is being webcast with a slide presentation that can be accessed in the Investor Relations section of our website. This webcast will be available until May 15. I encourage you to follow along with the webcast, as we reference detailed information on the slides. In the appendix, we have also provided reconciliations for all non-GAAP financial measures included in today's presentation. Portions of the presentation and our comments are forward-looking and are subject to Safe Harbor provisions. Please also note the risk factors in our most recent SEC filings. And with that, I'll turn the call over to Chris.
Christopher J. Kearney: Thanks, Ryan, and good morning, everyone. Thanks for joining us. On a consolidated basis, our first quarter operating performance was largely comparable with the prior year. That said, our revenue and segment income results were lower than anticipated. While the performance across most of SPX was fundamentally steady, we were disproportionately impacted in a couple of discrete areas. We'll talk about those today and the steps we're taking to address the challenges in those areas. Our financial position remains strong, and we made good progress on the capital allocation plans that we announced earlier this year. Looking first at the Q1 results. Earnings per share from continuing operations were $0.20, at the low end of our guidance range. Revenue for the quarter was $1.1 billion, down 2% year-over-year due to currency. Due to strengthening of the dollar, the currency headwind wound up being $15 million greater than we anticipated in our Q1 revenue targets. Organic revenue was flat year-over-year. As compared to our expectations, organic revenue was lower due to certain customer-related project delays and softer demand for book-and-turn business in Asia Pacific and Europe. Segment income was $82 million, about flat to prior year, but also lower than we targeted. This was due primarily to a significant underperformance at our Balcke-Durr business in the Thermal segment and charges related to legacy contracts at ClydeUnion. Taking a closer look at Balcke-Durr, this business supplies large scale heat exchangers and filters for various types of power plants. It also has an aftermarket service business. Its customer base is concentrated in Germany and South Africa. Throughout the EMEA region, regulatory uncertainty and the sluggish economy continue to impact recovery in our core power markets. Nuclear demand has been hit particularly hard due, in large part, to the post-Fukushima nuclear ramp-down in Germany. These factors have combined to trigger an even more rapid decline in Balcke-Durr's more profitable service business in the early part of this year. Based on current market conditions, we don't anticipate recovery in this business during the current year and have lowered our revenue and profit expectations accordingly. Given the lower revenue forecast for this year and the expected ramp-down of the South Africa projects over the next 2 years, we have aggressive restructuring actions underway to reduce the cost structure at Balcke-Durr. In addition, I've named Gene Lowe as the new President of our Thermal segment, which I'll talk about more in a moment. Looking now at ClydeUnion. In Q1, we recorded $5 million of incremental charges on legacy contracts that were part of the acquired backlog. As we've discussed previously, we inherited about $140 million of lost contracts that were in ClydeUnion's backlog at the time of the acquisition. Many of these orders contain highly complex designs on supercritical pumps. In our view, the cost and risk contingencies associated with supplying such highly sophisticated technologies were not adequately priced into the scope of the contracts. As such, we've incurred incremental costs related primarily to testing and rework, as well as late delivery fees. In 2012, we recognized about $100 million of revenue related to these lost contracts. In Q1, we recognized an additional $15 million of revenue and now have about $23 million remaining in the backlog. Improving ClydeUnion's operating performance and capitalizing on the commercial synergies within Flow's power and energy platform is critical to advancing our long-term strategy. We're focused on maintaining discipline on new order acceptance, increasing productivity and improving on-time delivery. As evidenced by the strong Q4 results, there is significant potential to improve the financial performance of this business. To ensure we capitalize on this potential, I've named Tony Renzi as President of ClydeUnion. Tony is Don Canterna's top operational leader at Flow. He has a strong track record of improving operational performance and driving results. In 2004, Don put Tony in charge of Flow's dehydration business, which, at that time, had declining revenue and was barely profitable. Within 2 years, the business was gaining market share and had expanded operating margins into double digits and above Flow's segment average. During the recession, the dehydration business maintained double-digit operating margins, validating the ongoing structural benefits gained through Tony's leadership. In 2008, Tony was given the responsibility of integrating APV, the defining acquisition for our food and beverage platform. As many of you know, at the time we acquired APV, its operating margins were in the low single digits and its systems business was losing money. During a 3-year integration under Tony's leadership, the team at APV significantly reduced its cost structure, streamlined the global supply chain and developed a standardized approach to system designs and improved project management. By 2010, APV's operating margins had improved better than 10%. During the last 2 years, Tony has led the Americas region of our Flow segment, a business with historically strong operating performance. In this role, Tony and his team have improved throughput, on-time delivery and capacity at our key oil and gas valve business in Houston. As a result, our valve business is capitalizing on the robust demand we are seeing in the North American oil and gas pipelines. Based on his past success at SPX, I have high confidence in Tony's ability to drive improvement at ClydeUnion and to accelerate our commercial strategy in Flow's power and energy platform. In 2012, our Flow Technology segment accounted for more than 50% of our revenue and segment profit. Going forward, we expect that percentage to continue to increase through growth in Flow, and also through divestitures of non-Flow businesses. We have a strong track record for creating value through divestitures, as illustrated by our sales of EST, Kendro, BOMAG and, most recently, Service Solutions. As part of our ongoing strategic review process, we regularly evaluate divestiture opportunities. Over the past year, we've evaluated several strategic alternatives for our Thermal segment. The unique requirements of this project-based business, along with the difficult end-market conditions, have made that process more challenging. Based on our evaluation, we believe the best near-term option for our shareholders is to restructure the business further and focus on improving our competitive position. To lead our Thermal segment in these initiatives, I've named Gene Lowe as the new segment President. Prior to SPX, Gene held leadership positions at Bain & Company, Lazard and, most recently, was the Director of Strategic Planning and Corporate Development for Milliken, a large global diversified industrial company. He joined SPX in 2008 as the Vice President of Business Development and Marketing for Thermal. During the past 3 years, he has served as the President of our Evaporative Cooling business. Under Gene's leadership, this business experienced above-market growth rates and significantly improved profitability, reaching its highest levels of annual operating profit. I'm highly confident in Gene's ability to improve the performance and competitive position of our Thermal segment. Over time, we plan to reevaluate strategic alternatives for Thermal as we continue to narrow our focus on building our Flow platforms. Looking now at our restructuring plans, for the full year, we're targeting at least $30 million of restructuring expense, with the majority expected in the second quarter. These targeted actions are concentrated in our Thermal and Flow segments, particularly at Balcke-Durr and ClydeUnion, and we anticipate the majority of them to be focused in Europe. We estimate about $15 million of savings from these actions in the second half of the year, with annualized savings of about $30 million or approximately $0.50 of earnings per share. Moving on to our end markets and beginning with Flow. Broadly speaking, the activity we've seen through the early part of this year in Flow's end markets is pointing towards a lower growth environment than we anticipated at the start of the year. We're seeing good quoting activity for large projects, but in general, customers are delaying large capital investments, most notably for food and beverage systems and OE pumps. In our shorter cycle component and aftermarket businesses, demand for food and beverage is steady on a global basis. In power and energy, we continue to experience strong demand for oil and gas pipeline valves, particularly in North America. And in our industrial markets, increased quoting activity in chemical and petrochemical markets is being offset by quoting activity in mining, which has slowed considerably. On a regional basis, Flow's orders in the Americas were up quarter-to-quarter and versus the prior year. However, orders in Asia Pacific and Europe declined year-over-year and were lower than expected. Looking at our power-related markets. In the U.S., replacement demand for power transformers remains steady. Market pricing and lead times were stable sequentially. A lack of growth in electricity demand and conservation initiatives are extending the life of aged transformers and leading utility customers to pace their replacement investment. We see the same dynamic impacting power generation markets in U.S. -- in the U.S. and in Europe. In these regions, regulatory uncertainty and fuel source changes continue to impact investment decisions. In contrast, we've seen very good demand in China for dry cooling systems on new coal plants. Our joint venture with Shanghai Electric has now been awarded 11 contracts, totaling just over $170 million in value since its inception in January 2012. Our backlog declined 2% in the quarter, mostly due to currency. On an organic basis, the backlog was flat sequentially. Book-to-bill in the period was 1x. Coming into the year, we expected stronger Q1 orders in aggregate across our businesses. In our view, given the seasonally low revenue in Q1, our order and backlog development is indicative of a modestly lower growth economic environment than we expected coming into the year. Based on our operational performance in Q1, recent currency changes and our current view of the macroeconomic environment, we have reduced our full year EPS guidance. As you can see on this chart, the execution challenges at our Balcke-Durr business and reduced full year expectations for our Thermal segment have the greatest impact on our earnings guidance for this year. Our full year EPS guidance range is now $4.25 to $4.65 per share. Jeremy will provide more detail on our full year targets later on the call. Looking at capital allocation. We've made good progress on the $450 million capital allocation commitments we announced earlier this year. As planned, in April, we made a voluntary pension contribution of $250 million to our U.S. qualified pension plan, which essentially puts us in a fully funded position. As you know, we committed $200 million to share repurchases for this year. During Q1, we executed $27 million of repurchases through the open market. That leaves $173 million committed to share repurchases over the balance of the year, and we expect to continue repurchasing shares in the open market during Q2. Since I've been in this position, we've maintained a consistent approach to evaluating capital allocation. That discipline has not changed. Our current focus is on operational improvements and returning capital to shareholders, and we have ample liquidity to evaluate additional repurchases as the year progresses. Given this focus, we are not allocating capital to acquisitions this year. At this time, I'll turn the call over to Jeremy for a detailed analysis of our financial results.
Jeremy W. Smeltser: Thanks, Chris. Good morning, everyone. I'll begin with the consolidated results. Our first quarter revenue and segment income were stable versus the prior year. Revenue in the period was $1.1 billion, down 2% over the prior year due to currency translation. Organic revenue was flat year-over-year. Segment income was $82 million and margins were at 7.3%. Looking at the segments, beginning with Flow. Flow reported $613 million of revenue for the quarter. Organic revenue declined 2% over the prior year and currency was a 1% headwind. Segment income was $55 million, up 19%, and margins improved 160 points to 9%. The increases in segment income and margins were driven by improved operating execution at Flow's European and U.S. operations. We are very pleased with the improved performance in these regions. ClydeUnion results were lower than expected due to the $5 million of charges we recorded on legacy contracts in the acquired backlog. These charges largely offset the tailwind from the purchase accounting adjustments recorded in Q1 2012. As Chris mentioned, in Q1, we recognized $15 million of revenue related to ClydeUnion's distressed backlog. We now have approximately $23 million left in backlog, the majority of which is expected to be recognized over the balance of the year. In total, Flow's backlog declined 2% in the quarter due to currency rate fluctuations. On an organic basis, the backlog was up modestly from the end of last year. We continue to experience solid backlog growth in the U.S. component businesses, most notably for oil and gas pipeline valves. And the order trends and backlog in ClydeUnion's aftermarket business remains steady. This was offset by declines in Flow's food and beverage system backlog and ClydeUnion's OE backlog. These declines partially reflect the order delays on CapEx projects that Chris mentioned, as well as our continued discipline on pricing and terms and conditions for large contracts. Moving on to our Thermal segment. First quarter revenue was $305 million, down 5% from last year due to currency. Organic revenue was flat, as increased sales of boilers supporting Hurricane Sandy relief efforts were offset by a lower volume of power generation revenue in Europe and South Africa. In total, Thermal's revenue in the EMEA region declined 15% year-over-year. Segment income was at $2 million. As Chris described, the operational performance at our Balcke-Durr business had a significant negative impact on Thermal's profitability in Q1. Under Gene's leadership and with the benefit of restructuring savings, we expect the Thermal segment to improve as the year progresses. Thermal's ending Q1 backlog was $717 million, down 9% in the quarter. Almost half of the decline was due to currency. Continued execution on the 2 large projects in South Africa was the primary cause of the organic backlog change. About 35% of Thermal's ending Q1 backlog relates to the remaining portion of these South African projects. At our Industrial segment, first quarter revenue was $216 million, up 5% organically over the prior year. The organic growth was largely driven by sales of power transformers, which increased 16% year-over-year. Operating margins in our power transformer business were also up year-over-year, driven by leverage on the organic revenue growth. In total, Industrial segment income was $26 million, flat to last year and 11.9% of revenue. This was modestly better than expected. As compared to the prior year, the segment margins declined due to a lower mix of high-margin communication technology projects. The ending Q1 backlog for Industrial was up $38 million or 9% sequentially. This was partly driven by the order timing of long-term agreements for aerospace components. Our power transformer backlog also increased, mostly driven by new open market orders. Pricing in the transformer backlog is consistent with the full year expectations we discussed at our Annual Investor Meeting in February. For medium power units, we are essentially booked through Q3 and are now quoting for shipments in Q4 and the first quarter of 2014. And in large power, we are fully booked for this year and quoting for shipment in 2014. Moving on now to our financial targets for Q2 and for the full year. In Q2 specifically, we are targeting a stable to modestly better operating performance as compared to last year. For revenue, we expect flat to low single digit organic growth and a modest currency headwind. We are targeting $113 million to $118 million of segment income, with margins at 9% or better. As Chris mentioned, we expect between $15 million and $20 million or $0.24 to $0.32 per share of restructuring expense to be recorded in Q2. Our second quarter earnings per share guidance range net of those charges is $0.60 to $0.70. We are currently using 47 million shares outstanding and a 26% tax rate in our earnings model for Q2. For the full year, we have updated our segment targets to reflect the Q1 results, currency changes and our revised organic expectations. The most significant changes are in our Thermal segment. Due to the continued sluggish economy in Europe and, in particular, the slowdown in service demand in Germany, we now expect revenue to decline about 10% for the year. And we are targeting margins to be around 5%. That's down about 160 points from our prior margin target. This reflects the Q1 performance and our reduced expectations for service revenue. For Flow, we are now targeting revenue growth between 1% and 5% for the year, with segment income margins between 11.6% and 12%. The changes for Flow are related primarily to currency changes and the Q1 charges on ClydeUnion's legacy contracts. And in Industrial, we've kept the revenue growth target at 6% to 11%. We increased Industrial's margin target to between 13.6% and 14.1%. On a consolidated basis, we are now targeting revenue to be about flat to the prior year, with margins up 40 to 80 points. Our full year EPS guidance is now $4.25 to $4.65 per share. This assumes 46 million shares outstanding and a 24% all-in tax rate for the full year. The full year tax rate includes about $6 million of discrete tax benefits that were recorded in Q1. As expected, and in our guidance, we recorded a $3.2 million benefit related to the 2012 R&D credit that was passed early in the year. In addition, we also benefited from other miscellaneous discrete items in the first quarter. Other notable changes to our midpoint model include lower pension and stock compensation expense, and this is partially offset by increased restructuring expense, which is now at $30 million, as well as slightly higher interest expense. I will finish with a brief update on our financial position and capital allocation. We ended the first quarter with $755 million of cash on hand. During the quarter, we invested a total of $131 million in share repurchases. As a reminder, in the first part of January, we settled $104 million of share repurchases to complete our 2012 10b5-1 plan. Later in the quarter, we repurchased an additional $27 million of shares in the open market. In Q1, we also paid net U.S. taxes of $25 million, which included $115 million of taxes on the gain from the sale of Service Solutions, largely offset by a $90 million cash tax benefit associated with our voluntary pension contribution. That $250 million pension contribution was made in April and will be reflected in our Q2 balance sheet and cash flow statement. Excluding the impact of those 2 tax items, our adjusted free cash flow in Q1 was a net usage of $52 million. This is generally consistent with our historical free cash flow performance, which is seasonally low in the first quarter, but this year's performance was significantly better than last year. For the full year, we are targeting $240 million to $280 million of adjusted free cash flow, about 120% conversion to net income. We are projecting more than $600 million of cash on hand at the end of this year after our targeted capital allocation actions. Combined with $583 million of borrowing capacity from our existing facilities, this would give us $1.2 billion of liquidity. Based on these projections, we have sufficient financial flexibility to evaluate additional share repurchases as the year progresses. We will also evaluate refinancing a portion of our fixed debt later this year in advance of our 2014 bond maturity. That concludes my prepared remarks. And at this time, I'll turn the call back over to Chris.
Christopher J. Kearney: Thanks, Jeremy. In summary, while the performance across most of SPX was fundamentally in line with our expectations, we're clearly disappointed with the Q1 performance of Balcke-Durr and ClydeUnion. We believe the new leadership in these businesses and the restructuring actions will lead to improved future performance. Our financial position remains strong, and we made good progress on the capital allocation plans we announced in February. We plan to continue our share repurchases in the open market during the second quarter. And with $1.2 billion of projected liquidity, we have ample opportunity to evaluate additional repurchases as the year progresses. We're not allocating capital to acquisitions this year. Our top priorities are improving operational performance and returning capital to shareholders. That concludes our prepared remarks, and at this time, we'll open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Shannon O'Callaghan.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: Chris, can you maybe just talk through a little bit the thoughts on deciding to keep Thermal in-house here and restructure it and fix it rather than let somebody else do that for you, and how much effort and time do you think it's going to take to get this where you want it?
Christopher J. Kearney: Sure, yes. We -- as I mentioned in my prepared remarks, Shannon, we have spent a fair amount of time looking at strategic -- actively looking at strategic alternatives for that business, and frankly, there are many parties interested. The difficulty in effecting that now really is around the difficult end market dynamics and the project nature of that business, meaning there are obviously contingent obligations that go with some of these larger projects. As we move forward in time, that becomes more manageable. And even given what I just said, I think there still remain reasonable options for that business. But in the short term, I think both in terms of our obligations to run the business and to improve performance, I think we have to focus on what needs to be done there, given the short-term dynamics that we're dealing with in the markets that we serve. But I think all of those things help prepare that business for, ultimately, a better strategic alternative.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: Okay. And then just in Flow, can you talk about a little bit on some of these customers delays? I mean, it sounded like some of your aftermarket activity was okay. In terms of the delays you're seeing, I mean, are these things you have visibility into or are they kind of indefinite deferrals? Maybe talk a little bit about that.
Christopher J. Kearney: Yes. I think we certainly have visibility to it, and I think the delays or the softness on the OE side is consistent, Shannon, with what we're seeing across the market. I think it's due in large part, I think, just to timing of some of those projects, but a lot of it is also due to our being, as Jeremy mentioned in his remarks, more selective about the process. We've talked about that pretty consistently. I think as we've owned that business now for a year and understand the complexities around some of the projects that were taken on under prior management and the difficulties we've incurred as a result of that, I think we're understandably more selective in terms of finding the short-term sweet spot for the business. And then making sure that, as we improve that selection process, contract terms, pricing, on the back end of it, as we connect engineering to operations, that we've been more thoughtful about that. That business is attractive to us in the medium to long term. It's a great market to be in. I think it fits very well with the businesses that Tony has been running. I think putting Tony in charge will not only help us in terms of the short-term performance in that business, but I think helps position us to leverage the longer-term opportunities in the broader power and energy Flow market. So it's a combination of all those things.
Operator: Your next question comes from the line of Mike Halloran.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: So could you just give a little bit more color on the capital allocation side, or capital deployment side, as you work through the year here, from 2 respects. First, just maybe some more color on the decision not to go after acquisitions. How much of that is market-driven, how much of that is the internal side needing a little bit of work and you just don't want to get distracted? And then also on the buyback side, could you just talk about what you mean by pursuing maybe a greater buyback program, and how aggressive you would be willing to be there?
Christopher J. Kearney: Sure. Well, I think Mike, to answer the first part of your question, if you look at the short-term challenges that we've encountered here in Q1, I think that requires us, reasonably, to focus on improving the business, focus on effecting the restructuring and, particularly, getting ClydeUnion fully integrated to a point where we can take advantage of the synergies that we saw, and that were attractive to us when we bought the business. And I think that, as you know, when we go through our disciplined capital allocation process, we use that process to evaluate share repurchases much as we do acquisitions. And as we look at that, in the short term, frankly, I think that's an attractive place for us to put our capital. And as the year goes on and we continue to generate cash, as we expect we will, we'll evaluate what we're comfortable doing over the balance of the year. But when you look at the projected liquidity and cash we have coming out of the businesses, I think we certainly have the ability to do additional purchases.
Jeremy W. Smeltser: Yes. I think if you look at the overall liquidity position, targeting around $600 million of cash on the balance sheet at year end, that provides ample liquidity to go further. That will depend on valuation, on where our market conditions are trending as we plan for 2014. And also, always mindful of the leverage position, which, as you guys know, is slightly above our long-term target range. And so that will also be a factor in deciding if and how much additional share repurchases we may execute this year.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: That makes sense. And then on the transformer side of the business, maybe if you could just talk about how you guys are approaching the market today. With pricing in the environment generally seeming to remain steady on that side of the business, are you guys going after new business maybe as aggressively as you otherwise might, because you're anticipating to see pricing tracking up at some point, maybe this year or maybe early next year? And I guess I'm just curious how you guys are approaching that trade-off today.
Christopher J. Kearney: Sure. I think, Mike, what I would tell you is we're approaching the market in a similar fashion to what we have in the past. We're a significant player in the medium power market and a growing player in large power. You can see by the sequential revenue growth and by the continued strong order rates in the business that there is opportunity there. I think internally, as volumes pick up, as they have over the last couple of years, and as we have more product flowing through the factory, I think there's a great opportunity for us to improve our operational efficiencies. And even in a stable pricing market, I think we can perform reasonably well. And so -- and that's kind of where our focus is. Really, the approach to the market hasn't really changed, as we've seen past recoveries. And we've maintained discipline, as we always have. But I think, internally, we can -- there's an opportunity for us to improve performance by just improving our operational efficiencies, and we've got a lot of focus and a lot of activity around that right now.
Operator: Your next question comes from the line of John Baliotti.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: Chris, I had a question. If you sum up your comments on the transformer business with respect to customers pacing investments, obviously, the weather and the macro making it easier for them to operate with what they've got. And then with your capacity comments, it was the one segment where you raised the margin target for the year, and I'm just wondering, could you kind of give us maybe the composition of what has changed, let's say? Because it sounds like what you've been accounting for is pretty similar to what you saw this quarter.
Christopher J. Kearney: Yes. I think when we look at performance for the balance of the year in Industrial, broadly, John, I think those expectations come from stable performance in transformers, but I think stronger operating execution in some of the other businesses within the Industrial segment. So...
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: Okay. You mentioned aero was pretty good as well?
Christopher J. Kearney: Yes.
Jeremy W. Smeltser: Yes, aerospace is solid. I think we've also seen a decent backlog build in some of the smaller businesses in Q1 that gives us more confidence, and when you combine -- in the rest of the year leading to that margin increase. And I think also if you look at the operating execution in the ramp-up in transformers from a volume perspective and how that leveraged, it really warrants the move that we made this quarter.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: So with the new capacity you brought online, you're getting a better -- more efficiency, you're kind of getting -- that's up the curve more than you're expecting?
Jeremy W. Smeltser: Well, I think it's moving up, somewhat in line with what we expected, but the execution was slightly above our expectations in Q1. And I think, it's really about the medium power volume through the plant actually increasing. I know you're probably expecting to hear us talk more about the large power volume, but remember, the medium power volume is starting to rise in the plant as well, and that, historically has been a good, profitable business for us.
Operator: Your next question comes from the line of Julian Mitchell.
Julian Mitchell - Crédit Suisse AG, Research Division: Just a quick question, firstly on the Thermal business. That's been tough for a while. The backlog and the cost cutting today suggest that it will remain tough for a while. What sort of core assumptions did you use just for medium-term demand here? I mean, is the sense that it's a tough short-term cycle right now, coupled with the South African lumpiness being digested, and then once you get into, say, '14, '15, you'll see South Africa gone largely and the ramp elsewhere? Or is there the concern that developed markets, there's no electricity consumption growth anymore and maybe you'll just have to keep cutting in this business for a few years?
Christopher J. Kearney: Well, I think the nature of the developed markets has changed dramatically over the last 3 years in terms of new build opportunities. A lot of that, Julian, is around decreased electricity demand, but also, both in Europe and the United States to a large extent, around energy source decisions that have to be made and movement away from conventional sources to renewables. We have felt the impact of that most significantly in Germany, obviously, with the results we reported today in Balcke-Durr. We still believe that the medium and long-term attractiveness -- the medium and long-term nature of this business is attractive, just given the underlying dynamics both in developed markets and in developing economies. But what we need to do in the short term is position the business from a structural perspective and right size it relative to where the market is today in the short term, but also continuing to focus on product innovation, which I think we've done a really nice job doing. So I think those are the prudent things for us to do in the short term. I think in terms of expected order flow in the short to medium term, when you take South Africa and that ramp down out of the picture, what we've seen over the last couple of years is it's been reasonably steady year-to-year, although depressed from prior years. And so I think the things that we're doing are the right, prudent, logical things to do in the business. But if we look at the business long term and you look at strategically where we are taking this company around Flow, I think it's better positioned probably somewhere else.
Julian Mitchell - Crédit Suisse AG, Research Division: Got it. And then just within the Industrial business, could you just remind us kind of, based on prior cycles and on the assumption that this cycle is fairly similar, at what point do you think you'll see a firmer sort of increase in pricing conditions? It sounds like pricing is stable right now. It's been stable for maybe 12 months. When you look at consumption trends on electricity, your competitor behavior, when do you think we might start to see the pricing firm up a bit?
Christopher J. Kearney: It's really difficult to estimate exactly when you'll see an inflection point, Julian. But I will tell you this. What's different in this recovery cycle from past cycles, as we've said consistently over the past year or so, is that electricity demand has been weak. And it's an interesting dynamic and I think is reflective of the couple of things that I talked about in my prepared remarks this morning, and that is rather tepid recovery, economic recovery in the United States, focus on energy conservation, which has allowed producers to extend the replacement. The underlying dynamics are still very strong, and I think the medium to long-term attractiveness of the U.S. market for industry is very good, given low energy costs and given how attractive that is to people in other parts of the world. I think those all are positive indicators that would support medium to longer-term electricity demand increases. I think they're good for the business. We believe that, that cycle will recover. But being able to predict an inflection point is kind of a difficult thing to do. But for the meantime, in the short term, we're seeing a very steady order flow in the business, as we've indicated. We've seen pricing remain stable. And as I said earlier, we're really focused on operational improvement and improved efficiencies in the factory as we ramp up volume, which we think will help us on the margin side.
Julian Mitchell - Crédit Suisse AG, Research Division: And just lastly, very quickly, just pricing trends in the non-transformer business, has anything changed there? Have you seen any extra pressure in Thermal, in the aftermarket side or in Flow because the volume -- because projects are being pushed out?
Jeremy W. Smeltser: I would say not so much in Flow or across Industrial. I think, in Thermal pricing just remains to be very challenging. It's a constant battle, and it has been for 3 years or so. At this lower level of demand, there's overcapacity overall on the component producing side. And so pricing is challenging, continues to be a factor in our year-over-year margin performance.
Operator: Your next question comes from the line of Jeff Sprague.
Jeffrey T. Sprague - Vertical Research Partners, LLC: I just want to come back to Thermal. I mean, what you said about it belonging somewhere else over time obviously makes sense. But is your message today that you don't like the price or you simply can't sell it because of the project uncertainty? And the reason I'm asking the question that way is there's a lot of uncertainty and swirl around Eskom and what's going on with these projects. And I'm just wondering if there's some risk that those projects don't follow through to completion, or there's some other adverse development there that just makes it impossible to price the business?
Christopher J. Kearney: No, that's not really it, Jeff. There's -- we don't see that as a real risk, honestly. And it's -- without getting into terms of discussions, I'll tell you this. If you just look at the nature of the business as we've described it, right, it's a big project business. And with the execution of those projects come certain contingent obligations and -- on our part, and that just adds a layer of complexity to how you structure or how you would structure a transaction. That is not to say that it can't be done, and it's not to say that there isn't significant interest in the business. I think ultimately, if and when we come to a strategic resolution for that business, it has to be around terms that are comfortable for us with respect to any continuing obligation, along with a fair valuation. And I think all of those things are manageable. I think with the short-term actions that we've talked about today, I think we make the business, frankly, more attractive and a better business. And the thing that we don't talk about a lot and haven't talked about a lot today, but I intimated, was the continuing focus in investment on innovation, which we are quite actually excited about in terms of the efficacy of that new technology and its appeal. And we think that, likewise, will add value to the business.
Jeffrey T. Sprague - Vertical Research Partners, LLC: And then just secondly on Clyde, a little disappointing to still be taking some charges there. With the $23 million left to go, do you feel like you totally understand the cost ramifications of that revenue coming through? In other words, are there charge -- is there other risk of additional charges as that comes through and you have to actually experience that through the plants to know, or is that buttoned down?
Jeremy W. Smeltser: Well, I think, Jeff, that we've taken the right approach to the charges that we took this quarter. It's a fair point. Obviously, our purchase accounting window is closed as of the end of the year, and so this is coming through earnings. There are around 40 contracts or so that we're still working on. And remember, we're recognizing revenue on a percentage of completion basis. And the reality is that these are challenging pump designs, and the real driver of charges like this is when you finish manufacturing and you put to test pumps through tests in your own plant, which happens really before any pump is shipped. And if a pump fails in testing, it's taken down, inspected, redesigned and rebuilt, and that obviously increases our labor and material costs, but also, at times, results in late delivery penalties. So we think we've taken the best approach based on all the information that we have, and we've got to execute on getting those pumps through test and out the door.
Jeffrey T. Sprague - Vertical Research Partners, LLC: Was ClydeUnion profitable excluding the charge?
Jeremy W. Smeltser: It was about breakeven in the quarter on a similar revenue level to last year's first quarter. So pretty low level of revenue overall.
Operator: Your next question comes from the line of Nathan Jones.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: If I could just follow up on that last question on ClydeUnion. ClydeUnion had a pretty weak start to last year in the first quarter, and you're saying that the revenue level in Clyde in the first quarter this year was similar?
Jeremy W. Smeltser: Correct. It was relatively steady with last year. We had organic growth offset by some currency headwinds in the business, and then also, we had a pretty heavy mix of OE revenues in the quarter.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Okay. If I could just dig a little deeper into some of the pieces of Flow. Can you kind of break out what the headwind was from the lack of those 2 system orders from last year? And what the -- x Clyde and x those system orders, what the growth was in the remaining business?
Jeremy W. Smeltser: Sure. I think the food and beverage systems orders, it's around $15 million to $20 million year-over-year, primarily in Asia Pacific. In EMEA and the Americas, as I mentioned, we were pretty pleased with the performance overall. We did also have a bit of a headwind year-over-year on a revenue basis from the squib valve contracts for Westinghouse that we had last year, like I said, about $10 million year-over-year.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And on the margin side in Flow, you commented in the press release that you had an increased supply of components and lower system orders, which should give you a richer mix in terms of margin there. And you called out primarily execution in the U.S. and Europe. Can you parse out kind of the different pieces that got you to the 160 basis point increase in margins?
Jeremy W. Smeltser: Yes. I would say year-over-year, Europe was probably the bigger driver of margin execution. If you remember, last year, Nathan, we had a particularly tough start in Europe in a couple of our plants that we talked about last year, in Denmark and one in Germany. And those problems really are behind us, and we were pleased with the performance there. In the U.S., what I'd say is margins were up a bit, which is solid, but also really solid when you take into account the profitability we lost year-over-year in the squib project, which was higher than our average profits.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: And just one more on the restructuring in Thermal. Obviously, that's primarily centered in Europe. Can you talk about how long you're expecting that to take to get done and when you start to recognize the benefits?
Jeremy W. Smeltser: Yes. We will be very active this quarter. I would expect it will continue into next quarter. Probably towards the end of Q3, we'd expect to see some of the benefits start coming through and in Q4, have solid benefits, and obviously, annualized going into 2014.
Operator: Your next question comes from the line of Steve Tusa.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: When I look at the, first of all, in the Thermal front, your decline in the first quarter on revenue actually wasn't too bad. I guess there was a lot of ForEx in there. But you took your revenue target down to show almost a high single-digit decline. So that would imply in kind of the back half of the year, you're exiting at close to a double-digit decline rate. Is that just South Africa beginning to roll off? Or what's going on there?
Jeremy W. Smeltser: Yes, the combination of South Africa and really orders in the quarter, the book-to-bill was okay, but it was at a very low level of revenue. And so orders were actually lower than the quarterly average last year that we saw, primarily driven by the service revenue, which, as we talked about earlier, I mean, it really was a sequential step function change. And the performance in Q4 in the business overall was dramatically better than what we experienced in Q1. I think in Germany, sequentially, revenues were down about 35%. And a lot of that is less of the long cycle, more of the shorter cycle book-and-turn service and aftermarket-related business.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Right. And then in transformers, I guess, up 16% is solid on the revenue front. I guess, did you say you're taking orders in for the fourth quarter of this year? Is that what you said?
Jeremy W. Smeltser: We are on the medium power side, and into next year on the large power side. We're pretty much full for this year in taking orders for next year.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. How do I think about -- a lot of the results, I mean, ABB had pretty bad power product orders here in the U.S. I think some of the other guys had just a significant slowing, not necessarily a decline, but a significant slowing in demand at T&D. I mean, you said that customers are being a little bit more cautious. I mean, what's the risk that we'll start to see this backlog moving lower over the next couple of quarters? And I mean, are you seeing any signs that pricing is actually deteriorating or at risk of deteriorating in that business?
Jeremy W. Smeltser: No, we're not. I think given how niche-y our product focus is, it's perhaps a little bit different than what you see in a broader portfolio of products in some of our competitors that we compete with on the transformer side. So what I would say is the open market volume is very steady. I think probably the one area that's different from when we had our open house last September is that the MVA [ph] customers' volume demand for 2013 has been lower than they indicated to us in their planning cycles last fall, not necessarily lower year-over-year, but lower than they had expected to do, as they were in planning at the time we had that meeting.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. And then just one last question, I guess, just the seasonality on the profits. If you assume you're right on your second quarter, it seems like that's about 36%, 37% of the year. You're usually up around 40% of the year at that stage of the game. Is that basically the restructuring, you're counting on some of these restructuring saves coming through in the second half to kind of make up for that kind of seasonal, a little bit lower than seasonal in the first quarter here -- first half?
Jeremy W. Smeltser: Yes, I think that's fair. Your numbers are right on. It's about 37% at the midpoint in the first half. I think last year was 39%. So there's a little bit of ramp-up there. The restructuring savings are a big driver of that. And then also, we do expect as the year progresses, that the volume in Waukesha will continue to increase sequentially, which will also help us first half to second half.
Operator: Your next question comes from the line of John Inch.
John G. Inch - Deutsche Bank AG, Research Division: If you were to look at your Europe -- I'm sorry for my cold here, if you were to look at your Europe business overall, how did that fare in the quarter, Chris and Jeremy? And in particular, did you see sort of a significant drop-off at the end of March?
Jeremy W. Smeltser: I wouldn't say we saw a significant drop-off at the end of March. I think overall, throughout the quarter, it was a little bit lower in book and turn than we expected. I think, fairly consistent with what you see in some of the macro data out there. There was a couple of spots that were hurt worse, as I mentioned, the Thermal orders both on the long cycle side and then more dramatically, as it relates to the Q1 performance, on the shorter cycle service side.
John G. Inch - Deutsche Bank AG, Research Division: Do you have any read on April, I mean, now that the month is closed, that gives you sort of a confidence level indicator for the second quarter in your guidance?
Jeremy W. Smeltser: I think relatively steady on the order front, really kind of each month of the year so far in EMEA [ph].
John G. Inch - Deutsche Bank AG, Research Division: Can I ask you, Jeremy and Chris? I mean, the Thermal business is a business that's proportionally project engineering. What's kind of the nature, maybe a little bit more color on the nature of the restructuring? Like how do you restructure a project engineering business, where you incur a lot of the costs kind of on-site and somewhat variable depending on business that you win? Is it kind of just back-office overhead? Or is there some other aspect of Thermal's ops that are perhaps unique to them that's a cost to take out opportunity?
Christopher J. Kearney: Yes, well, Balcke is a little bit different, John, because what we talked about in terms of the negative surprise in Q4 was really around, as Jeremy described and as I described in my comments, the service business. And so I think that the change and the ramp-down in that business is really reflective of the changing government philosophy, in Germany particularly, around moving away from nuclear and moving away from fossil fuels. And so I think as you saw those changes unfold post Fukushima, I think you saw a back off in CapEx spending in terms of new build or in terms of significant investment. And I think the last impact that we've seen, the most recent impact, is around the service business. And so that's a different group of people who run that business.
Jeremy W. Smeltser: Yes, and I think, John, it's important really for everybody to remember, we've talked so much about the cooling tower side. But Balcke is really a service- and a factory-based business, making the heat exchangers and filters. So there are what you'd think of as your more traditional overhead opportunities.
John G. Inch - Deutsche Bank AG, Research Division: Yes, no, that makes sense. And then just kind of lastly, your backlog, I mean, how firm do you think it is? Is there a risk of cancellation? Or conversely, I don't know, maybe if you could flesh out a little bit of the backlog trend. And I also just wanted to ask you, Chris, why again are you not doing acquisitions? Is this so you can focus -- you've got lots of money, is this so you can focus on the restructuring or is there some other reason?
Christopher J. Kearney: Well, to answer the second question, I just think short term, allocating capital to the share repurchases that we've already committed to do and indicating that we're willing to consider more, I think, is just the right thing to do in the short term.
Jeremy W. Smeltser: I mean, we believe in the existing businesses, there is a significant margin opportunity. And we need to focus the organization there. And I think as it relates to the first part of your question, John, we haven't experienced backlog cancellations. We don't expect to incur anything significant in that area. And if I go back to 2008 and '09 when we got this question a lot, we did not see backlog cancellations across our end markets, so I wouldn't expect anything different if we do see an additional macro slowing right now.
Ryan Taylor: This is Ryan. I just want to thank everybody for joining us on the call. We're at our stopping point now. Per the normal, I'll be available all day in the office to answer any follow-up questions. So once again, thank you for your time, and we'll talk to you soon.
Operator: Thank you for your participation in today's conference. This concludes the presentation. Everyone may now disconnect and have a great day.